Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Q1 Fiscal Year 2024 EnerSys Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to turn the conference over to Lisa Hartman, Vice President of Investor Relations. 
Lisa Hartman: Good morning, everyone. Thank you for joining us today to discuss EnerSys’ first quarter fiscal 2024 results. On the call with me today are David Shaffer, EnerSys’ President and Chief Executive Officer and Andrea Funk, EnerSys’ Executive Vice President and Chief Financial Officer. Last evening we published our first quarter results and filed our 10-Q with the SEC, which are available on our website. We also posted slides that we will be referencing during this call. The slides are available on the Presentations page within the Investor Relations section of our website. As a reminder, we will be presenting certain forward-looking statements on this call that are subject to uncertainties and changes in circumstances. Our actual results may differ materially from these forward-looking statements for a number of reasons. These statements are made only as of today. For a list of forward-looking statements and factors which could affect future results, please refer to our recent 10-Q filed with the SEC.  In addition, we will also be presenting certain non-GAAP financial measures, particularly concerning our adjusted consolidated operating earnings performance, free cash flow, adjusted diluted earnings per share and adjusted EBITDA, which excludes certain items. For an explanation of the differences between the GAAP and non-GAAP financial metrics, please see our company’s Form 8-K, which includes our press release dated August 09, 2023. Now, I’ll turn the call over to EnerSys’ President and CEO, Dave Shaffer.
David Shaffer: Thank you, Lisa. Please turn to slide four. Our first quarter results reflect the exceptional work our team has performed over the last few years to transform our business. Collectively, we have taken EnerSys from a product-based business to an end-to-end solutions provider, expanding our technology platform offerings and reach in existing end markets, while also entering new markets.  Andy will provide details on our Q1 fiscal ‘24 performance and outlook, but I will first provide a few highlights. Our strong operational results in the first quarter were further aided by $19 million of IRC 45X tax credits. Unless noted, my comments include the tax-free $19 million of 45X credits reported as a reduction to our cost of goods sold in the quarter.  Revenue of $909 million was up slightly against a strong prior year comparison, primarily driven by price mix improvement, particularly in Energy Systems. We remained bullish on our mid-term 7% to 8% sales CAGR on our base business, with global megatrends such as 5G expansion, rural broadband build-outs, electrification, automation and decarbonization driving growth for us. In addition, at our Investor Day, we called out an 8% to 10% sales CAGR through fiscal year ‘27, inclusive of revenue from our new Fast Charge & Storage initiative. I am pleased to update you that we recently achieved a major milestone in our product innovation journey, receiving our first customer PO for 10 Fast Charge & Storage systems and being part of a winning bid related to National Electric Vehicle Infrastructure or NEVI, which included the hardware for two additional systems.  In the near term, we are seeing a reduction in year-on-year orders with tough prior year comps and motive power and some softness in EMEA demand, and U.S. telecom partially offset by robust data center volume.  Customer order patterns are normalizing as they absorb high inventory levels and a few large telecom customers are delaying or reducing CapEx budgets. This has pushed out our growth from small cell installations and network expansions, which we expect to continue through the end of the calendar year. That said, our backlog is healthy and two times higher than pre-COVID levels.  The value of our solutions to our customers is evident in our exceptional gross margin improvement this quarter. Adjusted gross margin in the quarter improved over 600 basis points versus prior year to 26.8%. Excluding the IRA benefit, adjusted gross margin was 24.7%, up 410 basis points year-over-year and the highest gross margin we have achieved in 10 quarters, even with significant zero margin cost pass-through, as we are retaining price across all of our lines of business. Our gross margin was also supported by an easing of supply chain pressures.  We achieved record adjusted operating earnings of $107 million, adjusted operating earnings margin of 11.8%, and record adjusted EPS of $1.89, which all represent significant increases over prior year.  Our accelerated earnings, strong operating cash flow, and healthy balance sheet provide us with the flexibility to continue investing for long-term growth and returning capital to shareholders. As such, our Board of Directors approved a 29% increase in our quarterly dividend to $0.225 per share.  I am proud of our results and we remain cautiously optimistic as we continue to navigate this uncertain environment. Broad, secular and megatrends give us confidence in our long-term outlook. We have a lot of shots on goal and we have demonstrated our ability to execute in uncertain times.  Please turn to slide five. In June, we hosted our Investor Day, where we presented our strategic plans, growth drivers, and long-term outlook. We introduced our strategic framework of innovate, optimize and accelerate. Let me take a moment to recap this framework presented at our Investor Day.  Innovation has been a key area of focus at EnerSys. We continue to remain at the forefront of technology for our industry. Leveraging our modular technology platforms across all lines of business, we are constantly evolving our product lines to be more efficient, intelligent and with better interfaces to meet current and anticipated market needs.  Within Energy Systems, we are creating customer-centered, end-to-end solutions. One great example is the work we did to help our customers meet the 72-hour backup power mandates of the California Public Utilities Commission. We developed a tailored solution of TPPL batteries, lithium-ion modules and power supplies, also known as our XRT system.  We were the only company to meet industry standards with the highest energy density to extend run times and scale deployment within the required time frame. When we think about optimize, we think about our EnerSys Operating System or EOS, Operational Excellence Program, which ultimately drives margin expansion.  The team has done a tremendous job in this area, delivering high-quality products, but the work is never done. We are focused on our cost structure, not just to reduce costs, but to be more efficient and flexible as we meet growing customer demand, while also looking to expand our higher margin solutions. Within our facilities, we are deploying standardized processes and automated workflows to improve productivity and reduce waste. In our Missouri plants alone, these efforts present an opportunity to create additional TPPL capacity and save us approximately $40 million per year by fiscal year ‘27.  And then Accelerate. Accelerate, in its simplest terms means bringing our new, innovative solutions to market quickly and scaling them for long-term sustainable growth and value creation. Our end-to-end energy storage and management solution with Fast Charge & Storage capabilities is the epitome of our Accelerate strategy and is a game changer for EnerSys.  This technology leverages our core modular platform to create a high-density, smart energy ecosystem that addresses a critical and growing need in the market. I am proud of how quickly the team designed and developed this truly revolutionary lithium-based AI-enabled technology, bringing this to market in under two years, a phenomenal accomplishment.  The IRA further enables our acceleration by supporting investments in high-density, qualifying U.S.-produced batteries, such as our plan to build a domestic lithium plant, which I will discuss later. Control over lithium self-supply will be critical for our Fast Charge & Storage launch, as well as for our proprietary maintenance-free conversions in our other lines of business.  Our strategy is clear and consistent, and it is not new to EnerSys. This is how we have been operating for the last several years, and the time has come in which we will truly be able to innovate, optimize and accelerate our business to maximize shareholder value.  Our record earnings this quarter demonstrate the momentum we are building against the long-term targets we laid out at Investor Day. If you turn to slide six, you will see these targets we introduced at our Investor Day. I won't walk through each of them, but I will tell you I am confident that we have the right team and strategy in place to achieve these goals, and our progress in the fiscal year ‘23 and Q1 ‘24 demonstrates this momentum. Our resilient business model and flexible balance sheet are key enablers to driving our long-term success.  Slide seven represents a drill down on the targets and milestones we communicated. As a leading provider of energy storage solutions, we see tremendous growth opportunities in the coming years across the business. EnerSys is ideally positioned to benefit from demand growth driven by megatrends, including energy transition, energy security and connectivity.  Supply chain on-shoring, electrification and automation are driving demand, particularly in our motive power business. We are using software-enabled intelligence to help our logistics and warehouse customers optimize their operations with proprietary maintenance-free batteries and wireless charging solutions. The EV market is growing rapidly, and those vehicles will need access to fast charging. Our electrical grids need to be more reliant and resilient. 5G radios and AI technology are both extremely power-hungry. Broadband networks need to expand, particularly in rural areas, and are supported by government programs such as the Rural Digital Opportunity Fund.  Data communications plays an essential role in the world's infrastructure, and evolving technologies are increasing the need for power to support the density of energy needed for new equipment.  EnerSys is a critical enabler of the technology we rely on every day, and that reliance is increasing dramatically as time goes on. We are helping our customers optimize their power usage and making their networks and operations more efficient.  We have sustainable competitive advantages, including industry-leading core technologies coupled with deep customer relationships. We are focused on achieving our long-term targets and we will provide an annual update on our progress.  Please turn to slide eight. As we think about executing against our strategic pillars and long-term targets, I'd like to spotlight a few developments in the quarter, which I am pleased to share with you. Starting with Innovate, during the quarter, we continued to make significant strides on our innovation roadmap.  I'm proud to say that we began installing our first lithium based extended runtime XRT Systems at key communication customer sites in June, announced our DPX Distributed Power Transport system, which uses new fault-managed power technology to safely deliver 10X more power to meet the ever-growing energy requirements of small cell nodes, and we are also on track for production readiness to meet the deployment timelines for our first Fast Charge & Storage customers.  We optimized the business with the successful closure of our Sylmar plant this quarter. Also during the quarter, we accelerated by making great progress against our lithium strategy. In June, we announced we are exploring the development of a lithium battery gigafactory in the U.S. and that we entered into a non-binding MOU with Verkor, a European leader in battery technology, as part of this initiative.  This new factory will allow EnerSys to secure our supply chain while providing independence from non-domestic cell suppliers, which is critical for our defense customers. The site selection process is underway, and we are particularly excited about the scale and flexibility this factory will provide us, with both large production capacity and the ability to create cell designs optimized for EnerSys applications.  Based on our current outlook, we are targeting capacity of 4 gigawatt hours, which typically requires a capital investment in the range of $500 million. The benefits we receive from IRC 45X will help us fund this important manufacturing facility, and we are exploring additional government funding that supports the critical need for domestically produced high-density batteries. As we evaluate our funding options, we fully intend to stay within our 2x to 3x leverage target range.  Please turn to slide nine. Along with our innovation roadmap and disciplined cost structure, we remain highly focused on our sustainability goals. This week we published our 2022 value chain Scope 3, greenhouse gas emissions data, which follows our Scope 1 and Scope 2 neutrality goals set earlier this year. Value chain emissions disclosures is another milestone of our commitment to enhancing our operations to foster long-term sustainability.  Before I turn it over to Andy, let me close with this. We have been on a multi-year transformation journey. EnerSys today is very different from just a few years ago. Our earnings growth and strong balance sheet allow us to make the investments needed to achieve our long-term profitable growth targets. Our incredible team brings the commitment, discipline, and drive to move our strategy forward.  We are focused on executing in order to accelerate our impact on diverse and expanding end markets, with products that are critical enablers of multiple global megatrends. Over the past three quarters, the benefits of our investment and hard work from the last several years have been materializing in our financial results. But the real opportunity is still in front of us and is ours to capture.  Thank you to our more than 11,000 employees globally for your consistent hard work and dedication.  I will now turn it over to Andy, to take you through our results and outlook in greater detail. Andy. 
Andrea Funk : Thanks, Dave. Please turn to slide 11. Before I review the details of our Q1 ‘24 results, I first want to discuss the change in our reporting, which is effective as of April 1, 2023, for our fiscal year 2024.  You may recall, in the fourth quarter of fiscal ‘23, we recorded benefits from IRA production tax credits on a separate line item, which we did not allocate to our reportable segments. We are now expanding the items not allocated to our reportable segments to include startup operating expenses and results from a new operating segment we have entitled New Ventures, which consists of our Fast Charge & Storage initiative previously reported in our Energy Systems line of business.  We will also include any non-capitalizable costs related to our exploration of a domestic lithium plant. These three items managed on a company-wide basis will be listed together on a line item called Corporate and Other when we report our results.  Now, moving to our first quarter results. Our Q1 ‘24 net sales were $909 million. The slight year-over-year improvement was primarily driven by a 9% increase in price mix, which was partially offset by an 8% decrease in organic volume due primarily to the customer destocking and inventory normalization that Dave discussed. During the quarter we booked an IRA benefit of $19 million dollars as a reduction to cost of goods sold. This benefited our results from growth margin through net income. However, it is important to note that our results excluding the IRA benefit saw significant year-over-year improvement as well. I will speak to our results with and without the $19 million benefit for better year-over-year comparability purposes and insight into our operating performance. We achieved a record adjusted gross profit of $243 million and 26.8% of net sales in the first quarter of fiscal ‘24. Excluding the IRA benefit, adjusted gross profit was $224 million and 24.7% of revenue, reflecting an impressive improvement of 410 basis points over prior year. As Dave mentioned, this was the highest gross margin in 10 quarters, driven by the very strong price mix performance, which more than offset $123 million of higher quarterly costs versus Q3 ‘21 and is underscored by the impact of margin math.  Adjusting for the zero margin pass-through of these costs over this time horizon, our gross margin pre IRA benefit would have been 28.5% in Q1 ’24, made possible by our significant accomplishments and product mix, including maintenance free conversions and higher electronic content product sales, price stickiness driven by our differentiated solutions and a smaller footprint with four or less factories over the past five years.  Our adjusted operating earnings were a record $107 million in the quarter. Excluding the IRA benefit, we achieved adjusted operating earnings of $88 million, up $23 million versus the prior year with the adjusted operating margin of 9.7% improving nearly 250 basis points year-on-year. Our adjusted EBITDA was a record $122 million. Excluding the IRA benefits our Q1 ‘24 adjusted EBITDA was a $103 million and 11.3% of revenue compared to $86 million and 9.5% of revenue in Q1 fiscal ‘23.  From an operational perspective, margins continue to benefit from mix improvements as well as pricing, which is more than offsetting net cost increases. EnerSys Operating System or EOS cost savings in the quarter were offset by inflation and manufacturing variances, primarily from under absorption in our factories related to demand softness in telecom and to a lesser extent some continued productivity issues in our Missouri plant.  While there is still work to do, we have seen year-over-year improvements in productivity, which we expect to continue. In addition, as Dave mentioned, in June we successfully completed the closure of our Sylmar manufacturing facility and production transfers. This will save an estimated $4 million per year going forward.  Please turn to slide 12. Our record adjusted EPS was $1.89 per share, including IRA benefits of $0.47 per share in the quarter. Adjusted EPS excluding the IRA benefit was $1.41, an impressive 23% increase over prior year’s $1.15 adjusted EPS.  Similar to margins, adjusted EPS benefited from favorable price mix actions which outpaced year-on-year cost increases in the quarter. In the first quarter our tax rate on an adjusted basis was 17.6% before the impact of IRA benefits. On the right half of the page you can see the detail of net sales and AOE by segment, including our consolidated totals.  Let me now provide details on demand and the performance for each of our segments, starting with our customer order patterns and then providing year-on-year performance by each line of business.  Turning to slide 13, looking at backlog, as Dave mentioned, overall we are seeing order patterns normalizing as customers destock their large inventory balances and supply chains loosen, reducing customer requirements for longer lead time orders and their strategic inventory buffers.  Backlog declined from prior year peak levels. However, our backlog remains very healthy with minimal cancellations in the quarter and is still 2x pre-COVID levels. In fiscal Q4 ‘22, we began presenting backlog details on a temporary basis to provide visibility into the drivers behind the significant increase in backlog related to supply chain headwinds.  Now that supply chains are settling and backlog is normalizing, we do not intend to present this slide going forward. As previously stated, we expect backlog to gradually normalize toward a run rate of approximately one quarter of bookings, moderately higher than pre-COVID levels. The change in customer order patterns, which is reducing our backlog, should not have a material impact on our customer sales. Please turn to slide 14. In the first quarter, Energy Systems revenue grew 4% over prior year to $425 million. This increase was primarily driven by improvements in price mix and higher battery volumes in Americas, particularly with our record data center sales, which were up 50% versus prior year first quarter. In the aggregate, Energy Systems volumes were pressured by softness in EMEA and several large U.S. telecom customers pushing out capital expenditures.  Energy Systems first quarter results were highlighted by strong margin improvement as a result of positive price mix, cost recapture taking hold for the fourth consecutive quarter. Adjusted operating earnings of $30 million more than doubled from prior year, and adjusted operating margins of 7% improved an impressive 360 basis points over prior year.  We are pleased that the recapture lag in Energy Systems has reversed as we had anticipated. We expect this trend to continue as the cost recapture in this business has lagged our other business segments, and we should continue to make gradual progress in closing the gap towards what should be more normalized margins in the low double digit range. We will benefit from additional volumes, mix improvements and cost savings over the next several quarters, particularly when U.S. telecom CapEx resumes. Please turn to slide 15. Turning to Motive Power, revenue in the first quarter declined 5% from prior year to $351 million, as we saw volumes normalize across all geographies, against a tough prior year comp. The decline was partly offset by extremely strong price mix. I am very pleased to report that Motive Power maintenance-free conversion trajectory is on track with the goals we set at Investor Day, and we are quoting more than one-third of new projects with our proprietary maintenance-free offerings.  Motive Power reported strong adjusted operating earnings of $50 million, which improved 19% over prior year, and adjusted operating margins of 14.3%, which improved 280 basis points over prior year. This strong margin performance was driven by the significant TPPL mix improvements in the Americas, as well as ongoing positive price cost recapture.  Please turn to slide 16. Turning to our Specialty segment, in the first quarter, specialty revenue grew 9% over prior year to $133 million, driven by strong volume in U.S. transportation market and continued benefits from price mix, limited only by our TPPL capacity constraints out of our Missouri plants.  Adjusted operating earnings of $10 million improved 10% over prior year, and adjusted operating margin of 7.4% improved 10 basis points over prior year, despite absorbing elevated manufacturing costs from our Missouri plants and operating inefficiencies of our Sylmar plant prior to closure.  Please turn to slide 17. Our balance sheet remains strong and positions us well to invest in growth and navigate the current economic environment. As of July 2, 2023, we had $258 million of cash and cash equivalents on the balance sheet. Our net debt position of $690 million is a reduction of approximately $46 million from the fourth quarter of fiscal ‘23.  Our credit agreement leverage ratio was 1.5x EBITDA. Adding back our off-balance sheet asset securitization program, our leverage ratio was 1.8x EBITDA, below our target range of 2x to 3x, and an improvement of 0.3x from the end of the fourth quarter of fiscal ‘23, enabling us to mitigate higher interest rates and provide dry powder going forward.  In the quarter, we generated strong cash flow of $75 million and free cash flow of $59 million. Our capital expenditures were $16 million.  Please turn to slide 18. Our capital allocation strategy remains focused and disciplined around investing in organic growth, complemented by strategic M&A, maintaining a net leverage ratio at the lower end of our 2x to 3x adjusted EBITDA target range, and returning capital to shareholders through dividends and share buybacks. During the first quarter, we paid $7 million in dividends and did not repurchase any shares.  Please turn to slide 19. As Dave noted, our Board of Directors recently approved an increase in our quarterly dividend to $0.225 per share from $0.175 per share. As part of our disciplined capital allocation strategy, we are committed to a competitive dividend that grows with earnings, excluding IRA benefits over time. We have ample room on our balance sheet to remain flexible to meet our business needs, and we will continue to allocate capital with the goal of delivering the best long-term shareholder returns.  Please turn to slide 20. We expect to continue to operate in a dynamic macro environment and anticipate headwinds to persist for some time. We are working with our customers and keeping a close eye on any changes in order patterns, particularly with the U.S. telecom market as CapEx budgets have tightened. While volume was down versus prior year, we are encouraged by our impressive margin improvement and excellent demand prospects, driven by megatrends for which our products are key enablers.  Our fiscal second quarter 2024 guidance range is $1.77 to $1.87 adjusted diluted earnings per share, inclusive of $0.42 to $0.52 per share from IRA benefits. Excluding the IRA credit, this represents an increase of approximately 22% over the prior year. I would like to remind everyone that the IRS has not yet issued additional clarification guidance related to section 45X, which could materially increase or decrease the quantity of our U.S. produced batteries that qualify for this credit. We anticipate realizing gross margins of 25% to 27%, including 150 to 250 basis points from the IRA benefit.  Our CapEx expectation for the full year fiscal 2024 is unchanged at approximately $120 million, reflecting investments in new products, including lithium production lines and continued expansion of our TPPL capacity, and may increase over time as we deploy additional investments to increase our capacity of U.S. produced qualifying batteries from the IRA credits.  I would like to highlight again that we are key participants in large and growing end markets supported by global megatrends. We continue to generate healthy cash flow and have clear capital allocation priorities. Our team is energized and focused on executing our strategic initiatives to achieve our long-term goals.  And with that, I will turn it back over to Dave. 
David Shaffer : Please turn to slide 22. As we close today, I want to summarize what makes Enersys a differentiated investment of choice for long-term profitable growth. We are a global leader in energy storage technology. We provide highly differentiated energy solutions with a full suite of technologies for diverse end markets. We are strategically aligned with megatrends in large and growing markets.  We have a resilient business model, which is well positioned for strong cash flow generation, profitable growth, and margin expansion. We have a strong, flexible balance sheet with clear capital allocation priorities for accelerated earnings growth. And we are led by an energized team, focused on execution and continuous value creation for all stakeholders.  With that, let's open it up for questions. Operator.
Operator: Thank you. [Operator Instructions] Our first question comes from Brian Drab with William Blair. You may proceed. 
Brian Drab : Hi. Good morning. Thanks for taking my question. I just wanted to first...
David Shaffer: Hi Brian.
Andrea Funk: Hi Brian.
Brian Drab: Yes, good morning. Just regarding the guidance, I guess is it fair to infer that in the second quarter, fiscal quarter for you, that it's going to be more of the same in terms of volumes in general across the segments? And it also looks like you're – because the EPS guidance is down slightly from what you produced in the first quarter, and it also looks like the gross margin is a little bit lighter in the second quarter. So if you just could elaborate on the guidance a little bit in terms of volume and margin, that would be great. 
A - Andrea Funk: Sure, Brian. This is Andy. Good morning. As you know, our second quarter is typically our lightest quarter. We actually think volumes will probably be just about neutral over Q1, maybe even slightly up despite the European holidays that usually gives us a little bit of drag. Just because Q1, we had – it was a little lighter than we had expected, and we're seeing order books that is really in line with pre-COVID levels. So we think Q1 was a little softer than normalized.  And then we had a really exceptional price mix, as you can see by our margin improvement in Q1. And so, we're a little cautious to forecast that at the same level. So we pulled back a little bit, and that's what's driving the slight margin erosion. 
A - David Shaffer: And Brian, part of that too is because of the summer holidays, our service groups. A lot of our costs in our service group tend to be fixed costs, and we don't have as many billable hours – so we always get a little bit of sequential margin pressure to Q2 from Q1. So I would say that's probably the biggest issue as well, when we rolled up the numbers from the groups. The service piece is always a little bit lighter in Q2. 
Brian Drab : Okay. Great. Thanks. And I guess, can you elaborate also on the inventory drawdowns and the timing of that? How – I guess you said that you expect that to continue to persist, but if you could just elaborate on that timing, how long you think it persists. And then, is that still primarily in motive or are you really – because I know there's been a lot of volatility, of course in the fork truck industry, but are you seeing those drawdowns also in other industries? 
A - David Shaffer: Yes. I would say motive, it's the most obvious. Is that people are getting back to trusting the supply chains, and the ports have opened up, and things are largely back to normal for us. I suspect for our customers, they are seeing similar improvement in their overall supply chain situation. So, I would say indeed, people are getting back to their normal levels of inventory. Obviously, the higher interest rates puts more pressure on all of us holding that inventory. So there's just a natural tendency to want to get things back to normal as quickly as possible.  In our ES group, I would say there's some of that, but you also have to remember that in ES, we had a big order book with the CPUC project, so those orders tend to be very lumpy in that business. So I would say in ES, it was as much or more about just some big project wins, as opposed to. But in addition to as you said, people are starting to trust the supply chains a bit more, so it's a combination.  And in the specialty segment, again, it's more similar to ES. We had some big project wins along the way. We always get that the lumpy business is in the aerospace and defense side. And on the supply chain side I would say the Class 8 OEM market is similar to the fork truck OEM market, in terms of them getting back to more normalcy. So, it's a mixed bag of issues, but certainly as Andy noted, the overall demand signals from outside of a few key areas.  Andy touched on – Europe is certainly an area we've got our eye on and we need to adapt our business accordingly. And then certainly telecom, I would say that this spectrum phase seems to be slowing down in terms of building out this kind of early or first tranche of the 5G spectrum. And they are getting ready and they're signaling for us to get ready for the next phases of investment as additional spectrum comes online, and part of that, obviously, is the small cell focus.  So there is – I would say most of the customers are telling us this is just, it's a slowdown but it's not a – in no way are we done with 5G per se. It's just this early phase of it is, and it's all the telcos. It's not just – we had signaled, I think last quarter that we had one customer. But all of them seem to be in this mindset of getting ready for this next layer of the investment. But outside of those areas, we're seeing pretty much a normalcy in the order patterns. Andy?
Andrea Funk: Yes, two other things I'd add, I think some bright spots. Data centers are up 50% year-on-year, 65% versus two years ago. And in Motive Power, you look at our history last year, about 18% of Motive Power business was simply Pure Lead. Our order book, a third of it is Thin Plate Pure Lead, which is obviously very accretive to margin. So we're seeing a lot of great activity just with some normalization. 
Brian Drab : Great. Just one quick follow-up. On the data centers, is the product that you're shipping there primarily TPPL or lithium or mix? 
David Shaffer: Could you repeat that again? 
Brian Drab : Oh, I was just wondering, you mentioned such strong growth in the data centers. Which of your products is most in demand for data centers in the region? 
David Shaffer: TPPL. TPPL.
Brian Drab : Yes okay. I'll follow up more later. Thank you very much. 
David Shaffer: Okay. 
Operator: Thank you. One moment for questions. Our next question comes from Noah Kaye with Oppenheimer. You may proceed. 
Noah Kaye : Thank you. Maybe a follow-up question on ES. I think you gave us good color on the telecom dynamics, but just want to make sure we understand the CPUC project dynamics. So was that a source of strength in the quarter? Is it, in your expectations, continuing to ramp from here, because we're kind of looking at, Energy Systems backlog pretty much flat sequentially. And just trying to understand the dynamics around what has kept that sort of backlog steady. It sounds like some of that's the telecom push out. But if you're getting more orders, in this growth phase from CPUC, just help us understand that dynamic as well. 
David Shaffer: Yes, I would say largely Noah, the CPUC has been a source of steady loading over the last four or five quarters. And that project is 80% complete, something in that zip code. I don't have that exact, where we're at through that project. In terms of new orders this last quarter, the book to bill in the quarter was still above 0.9. I don't know exactly, do you have that Andy for ES? 
Andrea Funk: Yes, it was around 0.9. 
David Shaffer: 0.9. So we're still getting additional orders in other areas. And we were able to shift quite a bit. We've been unleashing some of that backlog. So yes, I would say – and then the RDOF project and there's other areas where we expect the broadband investments to improve. 
Andrea Funk: Yes, we probably still have – of our CPUC around 180, we've shipped around 110 of it. 
David Shaffer: Okay. 
Noah Kaye : I mean, I guess the logical fall to that is, do you see book to bill trending above one or one in subsequent quarters? It's tough to say. And what would drive that? 
Andrea Funk: Yes, I think it's – as we mentioned in the last quarter, we'll probably be slightly below one, which is good. I think it's a good sign that supply chains are starting to normalize. What we really look is what we project our shipments to be, and there's been some change in customer order patterns. We used to do a lot more of book and ship for example, in Motive Power. ES had a lot of choppiness with some of these large program orders, but now we're able to start getting some of the electronics, some of the forklift OEMs.  They still have long lead times, so we don't have quite as much of the book and ship as we used to, but it's starting to get unclogged a little bit. So that's why we commented, when we look at what we expect our shipments to be, that'll be pretty much normalized in line with pre-COVID levels, and we expect the backlog coverage to start leveling off closer to a little over one. Right now, we're still at about 1.3x quarterly backlog. 
Noah Kaye : And can we understand the margin implications of starting to see that backlog come down, which means you're converting right, faster. Obviously, you've had some volume impacts, both in ES and in Motive this quarter, but just looking at the backlog, and I assume it's price mix benefited versus what you've been able to ship, what would that mean for where margins can go? 
Andrea Funk: Yes, I – I think the team has done a fantastic job with capturing price. I mean we talked about some of the stats, and we have re-priced backlog. We do have a little bit of richer mix in backlog, but we're getting to pricing on our orders right now. It's holding firm. We do expect that costs will start to come down a little bit also.  So I think Noah, as we see the backlog unwind, the positive side to me is we don't have this big egg and this snake that's going to come through and things are going to change. It's just a gradual return to normalization, and we've got healthy pricing and mix in the backlog. So I don't see that as having a material impact on margins. 
Noah Kaye : Okay, helpful. You mentioned earlier, you're on track with DC Fast Charging. Can you just give us a little bit more detail on that timing of production, expected shipments, whether you've gotten firm orders in yet? Just a little bit more of an update, please. 
David Shaffer: Yes. We noted in the prepared comments, we've gotten 12 systems now. So that's really exciting for us. And the timing is still a little bit up in the air as we're finalizing the terms and conditions and so forth of the orders, but we will start shipping in the coming quarters. So we've done some, as we had noted prior, we've done some advanced long-term purchasing in preparation. These two opportunities were not our original target launch customer, which is still fairly imminent we suspect as an opportunity.  So the program is achieving all of the marks. So it's really a testament to our long-term strategy and what we've laid out and we couldn't be more excited about the progress. So there will be more additional updates to come, but 12 systems, and we expect that to just continue to grow as time progresses. 
Andrea Funk: Yes. Noah, I think it's worth noting that that's really why we decided to pull this out of Energy Systems. It's really now starting to become a new segment in and of itself. And while we don't expect there will be a material financial impact this fiscal year, it's materializing into a business in and of itself. It's exciting. 
Noah Kaye: Very helpful. Thank you. 
Andrea Funk: Great.
Operator: Thank you. [Operator Instructions]. Our next question comes from Greg Lewis of BTIG. You may proceed. 
Greg Lewis: Yes, thank you, and good morning, and thank you for taking my questions. Andy, thanks for all the color you've been giving us around the IRA benefit. I want to say last quarter you mentioned that around 60% of the portfolio is subject to the benefits from IRA. Is that kind of still the number or just given that we're gaining and realizing that it's still a smaller number with the Fast Charging, is that percent – would you be surprised if that percentage of the portfolio continues to melt higher over the next one to two years? 
Andrea Funk: Yes, thank you and good morning, Greg. As we mentioned last time, about 60% of our U.S. produced batteries qualify in what we currently have in the calculation. We are still waiting for clarification and we think there's a good chance there could be material upside or potential downside, depending on how it gets clarified. We have been intentionally conservative in our calculations.  So there's two things Greg that could impact the IRA benefit going forward. One is, the amount of our sales of domestic produced batteries, which it's been completely in line with Dave's strategy all along of increasing our capacity of high-density batteries. So we do intend to increase that capacity and what the IRA has done is changed our focus to make sure we're looking at domestic production.  And then second as we get clarification depending on how the clarification comes from the IRS, that could actually also expand. We see there's more upside than downside. But it obviously depends on what clarification comes out from the IRS over time. 
David Shaffer: And besides the clarifications, Greg, to your point, your question. I think obviously there's a natural benefit and tendency for us to want to reshape and rebalance our factories and our product portfolios and all of our NPIs towards this 100 watt hours per liter threshold. So I think the natural tendency is for that number to increase over time, independent of whether or not we change related to the IRS. So yes, I think the answer to your question is yes.
Greg Lewis: Okay, excellent. And then just realizing there's always a disconnect between what can happen in time in the real world versus what Wall Street is sometimes looking for. As you think about the U.S. domestic lithium battery production, any kind of realizing its early days, as you continue to look at partners.  Realistically, when do we think we could get some clarity around what that is going to look like on a go-forward basis i.e., is that something we could potentially get an update on later this year or is that something that just given all the heavy lifting involved, it’s something where we're probably going to have to wait until more of like a mid ‘24 before we start to understand what that actually could look like. 
David Shaffer: I'm fairly optimistic we're going to be able to give you at least progress updates, material progress updates every quarter. We've made exceptional progress so far in terms of building out our team and looking at different sites around the country. And as we noted this will depend on making sure that we have enough funding available to keep us within our current expectations as they relate to our liquidity, and frankly, our return on invested capital. So I'm very optimistic. I think that the – as we look at, especially in the areas of government projects. I recently was in a presentation where the government showed the amount of their projected growth in this area and it's amazing. But what's staggering about it is, as much as the government wants to grow in terms of their battery usage, it's still just a drop in the bucket compared to the electric vehicle volumes and so there's this challenge. 4 gigawatt hours to us is a significant investment in size of a factory, but it's a rounding error for some of these bigger EV initiatives.  And so the ability for us to be able to control, the design and the supply chain and have domestic sourcing which is critical for all of these government projects is one of the key drivers for this investigation. So I'm fairly optimistic that there's a need, there's a clear need. The government recognizes this need and we should be able to line up the funding to push this forward in the coming quarters.
Greg Lewis: Okay, great, and then just one more for me. I did want to touch a little bit more on Motive. It seemed like in the prepared remarks and in the Q&A obviously you called out Europe as an area where you're seeing some softness. I guess being around Asia, realizing it's a very small piece of Motive, very small piece of your business, any kind of color there?  And then as we look at the U.S., I imagine there has been some slowing and really realizing there's no such thing as kind of a normalized type level. Any kind of thoughts around the outlook for Motive in the US? Just everyone's looking at the same data and it seems like it's slowing, but maybe where we could kind of – as you see it playing out, like how should we be thinking about maybe a bottoming in Motive here over the next few quarters?
David Shaffer: Well, on Asia, Asia was a bright spot. So Asia is actually improving somewhat and as it relates to the U.S., the repatriation of certain production from abroad, the push towards the higher margin maintenance free products, and the overall levels and opportunities we have with our new product portfolio. We remain very optimistic about what's happening in Motive in the U.S. market specifically.  And you said slowing, the way I view it is it's a normalization that's going on in Motive. That when I – I've asked the teams to present to me in all the meetings is what the long-term trajectories look like sort of pre-COVID and forecast that forward. And as we assess order rates and activity levels and shipping levels, there definitely strikes me as a normalization. So it's been a very dynamic period, especially as it relates to orders.  When you look at the shipments of trucks, they've actually been fairly stable for some time. Nowhere near the surge in shipments of new trucks as compared to the order activity. So it's just things seem to be getting back to normal and we're very optimistic about this business. 
Greg Lewis: Super helpful. Thanks for the color. Have a great day.
Andrea Funk: Thanks Greg. You too. 
Operator: Thank you. I'd now like to turn it back to David Shaffer for any closing remarks.
David Shaffer: I want to thank everyone for joining today's call and thank you for your interest in EnerSys. We look forward to updating you again next quarter. Have a good day. 
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.